Operator: Greetings, and welcome to the Celanese First Quarter 2024 Earnings Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Cunningham, Vice President of Investor Relations. Thank you. You may begin. 
Bill Cunningham: Thanks, Diego. Welcome to the Celanese Corporation First Quarter 2024 Earnings Conference Call. My name is Bill Cunningham, Vice President of Investor Relations. With me today on the call are Lori Ryerkerk, Chairman of the Board and Chief Executive Officer; Scott Richardson, Chief Operating Officer; and Chuck Kyrish, Chief Financial Officer.
 Celanese distributed its first quarter earnings release via Business Wire and posted prepared comments on our Investor Relations website yesterday afternoon. As a reminder, we'll discuss non-GAAP financial measures today. You can find definitions of these measures as well as reconciliations to the comparable GAAP measures on our website. Today's presentation will also include forward-looking statements. Please review the cautionary language regarding forward-looking statements, which can be found at the end of both the press release and prepared comments. Form 8-K reports containing all of these materials have also been submitted to the SEC.
 With that, Diego, let's please go ahead and open it up for questions. 
Operator: [Operator Instructions] And our first question comes from Ghansham Panjabi with Baird. 
Ghansham Panjabi: I guess, Lori, just first off, just given all the various moving parts globally and so on and so forth. Maybe you can just share with us your updated view on just the macroeconomic construct globally. You [indiscernible] the U.S., Europe and China in context from the previous headwinds of destocking and just weaker growth, et cetera? 
Lori Ryerkerk: Ghansham, look, on the macro, what I would say is, look, it's generally unchanged from what we've been saying in the past few quarters. I would say we haven't seen any big positives or negative this quarter from what we had expected. We called out last quarter, we really thought we were at the end of destocking. I think the movements this year, what we're seeing in the order book, the stability of the order book has proven that to be true.
 In China, specifically, I'd say, as we said last quarter, China for China is pretty steady. It's okay. It's the exports that are lagging to primarily Europe, but also other regions of the world, and we're not seeing some of the pull-through of material because of those -- that lag in exports. The U.S. remains pretty steady, I would say, across all the sectors. And Europe, although we did see a little improvement since the middle of last year, I would still say it remains lackluster and below normal levels in Europe.
 I would also say, as we move forward, we're really not seeing some of the seasonal uplift we would have expected at the end of the first quarter and into second quarter. Overall, I'd say all the sectors are pretty steady. I think the notable sector in terms of poor demand continues to be construction, paints and coatings, et cetera. And although I do think there, we would expect as we move into the second half that we maybe start to see recovery there. I think PPG called out this quarter that they've had 11 quarters of flat to down.
 And there in second quarter, expecting to see low single-digit growth and some further growth in second half. So we hope that's true. If so, we should see a little bit of recovery there as we moved into the second half. I mean I would characterize it much like we did even a year ago, which is we still think people are still spending. They're still spending on experiences, on travel, airlines are having a good time, but they're not spending on goods yet. It will normalize at some point, but we're not seeing that normalization yet. 
Ghansham Panjabi: That's comprehensive, Lori. And just in terms of the related question as to what would actually kickstart demand from your perspective? Would it just be as simple as interest rates being [ reduced ] on a global basis? And then related to that, you had called out new capacity over the last 6 months, specific to the comments on Chinese acetic acid, et cetera. Is that capacity more disruptive than you thought? Or is it just that demand was weaker than you thought initially? 
Lori Ryerkerk: Yes. Look, I think in terms of kickstarting it's really just when do people get confident in the environment again, when do we see a shift back to normalized spending on durable goods. Clearly, we could use some China -- sorry, some Europe recoveries would be really helpful. But it's nothing more than that. Like I said, consumers are spending. We just need them to start spending on durable goods again. And again, I do think that will happen in time.
 I think your question on China, what I would say is, I would say the new capacity has it been more disruptive than we thought, I would say, yes, because the demand for that, which was being planned to go in, has not developed. So there were some downstream consumers that were being built at the same time. They've been delayed. Obviously, they've been delayed because the demand for those products are delayed. So it is ultimately a demand answer.
 The good news there is though we are seeing some acetic acid flowing into new applications, like [ caprolactam ] and others. So again, I think it's a temporary phenomenon. If you look at what's been added, even what's to come, this is not such a large number that I think we're back where we were 20 years ago. I think we -- it's just a question of demand normalizing and catching up with the supply we have now. 
Operator: And our next question comes from Mike Leithead with Barclays. 
Michael Leithead: Great. I wanted to dovetail and ask about full year guidance. Lori, it seems like from your remarks just now the macro conditions are maybe still a bit uninspiring. So the bridge from sort of the $5 is funded out of the EPS in the first half to about 6 50 at the midpoint in the second half. Is that all controllable Celanese action? Or do you need the world to get a bit better from here to hit those numbers? 
Lori Ryerkerk: Thanks, Mike. I would characterize it as we will hit those numbers with just controllable actions. And if you think about it, M&M synergies are heavily loaded and compounding as we go through the year. So now that we have full visibility into the data, everything due to our S/4HANA upgrade for the M&M assets. And some -- and also the results of like the Uentrop shutdown and some of the other footprint actions we took last year, we really start to see those synergies grow and compound as we move through the year.
 So that's a major impact. The Clear Lake expansion, while we did have a little bit of help in the first quarter from that, that will also continue to grow as we move through the year. Debt service is another one, which is more heavily loaded into the second half of the year. And I would also say our turnaround costs in the first half is about double what it's going to be in the second half. So we get some tailwind there as well. So I would say everything we know now says we're well in that range, just based on what we know. We've not really built in any recovery other than the end of destocking, as we've said before. So I think we -- I feel very -- still feel very confident that we will be within that range for full year. 
Michael Leithead: Great. So that's helpful. And just as a follow-up question on Engineered Materials. I think in the prepared remarks, you talked about continued pricing pressure. I was hoping you could unpack that somewhat. Just where exactly are you seeing the most pricing pressure today? And was that a nylon specific comment or more broad based across the portfolio? 
Scott Richardson: I would talk -- think about that, Mike, in terms of -- it's really continued from what we saw in the fourth quarter of last year. Really no significant changes there. Raws have come down as well. And we've been really mismatched here in Engineered Materials for more than a year on where kind of pricing for standard grade materials was versus the cost structure. And as you saw with some of the margin expansion we alluded to in the prepared comments, we're definitely catching up there. But we're not seeing a lot of ability to move pricing here in those spaces. So the team is focused, however, really around continuing to move the pipeline and work on upgrade of mix as we work our way through this year and then into 2025 to address that. 
Operator: Our next question comes from Jeff Zekauskas with JPMorgan. 
Jeffrey Zekauskas: When you look at your Engineered Materials volumes year-on-year, they're down 12%. Maybe global auto production is down 1%. And when you look at the demand for the coatings companies, maybe it's down low single digits. Why is Engineered Materials have a larger volume decrement. 
Scott Richardson: Yes, Jeff, I would really point to some of the real standard spaces we participated in last year, really to start moving some of the inventory levels that we had as we finished 2022. And that's really more of the driver than anything else. We also saw a little more seasonality in the medical sector here this year versus what we saw last year. So those are the main drivers. 
Jeffrey Zekauskas: Okay. And then sort of the reverse is the Acetyl Chain, where volumes are up year-on-year, 11%. And I take it that what you want to do is run your Clear Lake expansion more or less full out? Is that part of the reason why volumes are up? And do you expect as a base case for your volumes to be up 10% or more this year? And maybe could you comment on filter tow in that we saw really strong numbers out of Eastman, but your Acetyl Chain doesn't seem to be growing its adjusted EBIT very much. 
Lori Ryerkerk: Jeff, maybe -- let me just make a few comments, and then I'll let Scott add more detail. I mean, what I would say is we don't have a strategy to run at still necessarily at higher volume. The justification for the Clear Lake expansion was really in productivity, right, energy, catalyst, shipping by shipping more out of the U.S., less out of Asia. So that's not the strategy. Now having said that, we will run all of our assets where it makes sense from a demand standpoint and from an economic standpoint. So I wouldn't say that's the biggest factor there. 
 What I'd say on tow is we did see a significant uplift in tow this year. That uplift is continuing into this year. And if you look at our first quarter volumes, I think some people have called out more seasonality. We really saw first quarter within the typical seasonality for tow, which is minor, we're talking 1% or 2%. So I think we're seeing that -- I would suggest to you we're seeing -- enjoying the same markets for tow that our competitors are. But of course, it is now in our Acetyl Chain, and we have more decision points that we can make around it to really maximize the value of the chain. 
Scott Richardson: Yes. Let me just add. I think as Lori said, on tow, 2024, very similar to 2023, not a continued lift, very stable there. When you look at a year-over-year basis, Q1 to Q1, Jeff, the main driver volumetrically is really just where the industry is. If you recall where we were in the first quarter of last year, we were coming off very high energy prices in Europe in the fourth quarter of 2022. European demand was relatively soft. In addition, we were still seeing China dealing with COVID in the early part of the years, which impacted volumes. So that's really the main driver on a quarter-over-quarter basis here in the acetyl business. 
Operator: And our next question comes from Michael Sison with Wells Fargo. 
Michael Sison: Nice start to the year. For 2Q, will EM volumes [indiscernible] I guess it still looks like it's going to be down year-over-year. But the third and fourth quarter for EM, do you need volumes to improve year-over-year to sort of hit the outlook and -- how much, if at all? 
Scott Richardson: I think as we work into Q2, my volumes will move up a little over where they were in Q1. On a year-over-year basis, relatively flattish. Any differences are more mix related, as I talked about earlier, with kind of where we were on moving nylon last year to really get our inventory levels down. And we will see an expectation that volumes move up, really driven by 2 things in the second half. One, just as destocking has ended and that kind of normal flow through, not a real significant restocking or anything, but just slightly higher levels of volume coming from that in the second half.
 But more importantly, really a commercialization of our pipeline. And we went really to an integrated commercial model in Engineered Materials in April of last year. The average length of time projects in our pipeline takes is about 18 months. So we expect kind of the efforts the commercial team has been putting in now for the last year really to start to take hold and see the value coming towards the end of this year from that. 
Michael Sison: And then more of -- a little bit of a longer-term question. Sales in EM running about $6 billion, maybe a little bit better than that. But longer term, when demand does recover, China, goods, et cetera, does this a $7 billion business? And what would the operating leverage [ trying to get ] volume come back look like on that growth? 
Lori Ryerkerk: Yes. Look, I don't know the exact number where that could end up. I mean the way I would characterize it is we expect over the next year or so that EM basically starts contributing at the same level as acetyls from a margin standpoint. And then after that, while acetyls will continue to grow at kind of GDP, GDP plus a little bit, we would expect margin growth for EM to still be in that roughly 10% range that we've had in the past. So I would think about it that way. So ultimately, there's no like in number. The number continues to grow, but that's the growth rate we expect. 
Operator: Our next question comes from Vincent Andrews with Morgan Stanley. 
Vincent Andrews: Starting to read a bit that some of the trade complexities in the Red Sea area are starting to resolve themselves. And so I guess, one, would you agree with that? And two, if the case and if the shipping channels become a little less challenged, how would that impact your businesses, good, bad or indifferent? 
Lori Ryerkerk: Vincent, thank you. Look, I would say we've been pretty indifferent so far. What we found is shipping channels and stuff where there can be a temporary disruption pretty quickly, renormalize in a new way. So I -- we haven't really seen an impact so far. And similarly, I wouldn't expect a big impact if we see some of the issues resolved. I think the market is pretty quick to correct itself. 
Vincent Andrews: Okay. And then if I could just ask a follow-up on the nylon business. In the prepared remarks, there was a comment about higher variable costs for higher velocity products. That's quite a mouthful. Could you just unpack that for me? 
Scott Richardson: Yes, Vincent, it's really related more to the Palm business, and it's really the flow-through of methanol since we weren't producing as much of our own methanol in the first quarter. It's the flow-through of that higher cost product into Palm that gets sold here in the second quarter. That's really the main impact. 
Operator: And our next question comes from Josh Spector with UBS. 
James Cannon: This is James Cannon, on for Josh. You in your prepared remarks talked about the price-to-cost benefit in the first half. Are you expecting much flow through into the second half? Or does lower pricing kind of erode that? 
Scott Richardson: I wouldn't expect lower pricing to erode that, James. A lot will depend upon what happens with the raw material complex. We kind of know for the first half, what the flow-through of that is going to be. So a lot just depends upon how raws develop in the second half to see how much of that continues or not. 
James Cannon: Okay. So just as a follow-up to that. I think if I look back -- if I look back a quarter or two, you gave in your prepared remarks, comments on price/cost being potentially the highest part of the year-over-year bridge. Is that still possible? Or just given where we stand, is that maybe a little bit more in question? 
Scott Richardson: It's definitely still possible based on what we're seeing for the first half. And then again, we'll just have to see how raws develop in the middle part of the year to see what then gets expensed towards the back half of the year. 
Operator: Our next question comes from Kevin McCarthy with Vertical Research Partners. 
Kevin McCarthy: In your prepared remarks, you talked about 2 key synergy drivers for Engineered Materials, namely the shutdown of nylon 66 in Germany and the SAP ramp. Can you address those and maybe translate it to how much earnings uplift you might be anticipating in the second quarter through the fourth quarter. It didn't sound like there was much in the first quarter from those items. 
Lori Ryerkerk: Yes. Look, I would characterize it as for the footprint actions we've taken, and there's been a number of smaller actions that we've taken as well, not including Mechelen, which we've just announced because that will really show up in next year's number. We expect about a $50 million synergy lift on a full year basis from those. And you're right. I mean we're just now starting to see the benefit of Uentrop, which is the biggest piece of that. So there's that. 
 And then I would say on the SAP, the direct impact. I mean, obviously, we get rid of the TSA, but we've had to add our own people. So that's a smaller number than you might think, although significant. The real benefit is that we now have one view of the data, and we have everything in one system, and it is really helping us with our planning and scheduling and forecasting of demand in Engineered Materials. And so again, we're -- all of that kind of gets rolled into our synergy number, and that number for the full year is 150 lift from last year. 
Kevin McCarthy: And then secondly, for Chuck, perhaps, can you talk about how your free cash flow outlook has evolved? And specifically, I'm interested in any guidance you might be able to provide on cash taxes or the expectation therefore, in 2024. It sounded like maybe there's some timing issues around taxes we should be thinking about. 
Chuck Kyrish: Yes. Good question, Kevin. Yes, let me walk through how we're thinking about '24 cash flow. I would say we do expect the same cadence as we saw last year where our cash flow will be second half weighted. Teams are working hard to generate a total result for the year that's roughly consistent with last year. It will be subject to a few timing elements, of course. Outside of EBITDA growth, I would point to these drivers. We are working really hard to produce a working capital benefit to free cash flow this year. And that would be driven by further inventory reductions. 
 Right now, we've assumed $100 million working capital benefit for the year. And it will depend on a few factors. I would say working capital, though it will be back-end loaded. It should be a use in the first half, particularly as we're preparing for some of these footprint actions and then a source in the second half. Either way, I would point out, that's a significant headwind to free cash flow versus 2023 as we had a tremendous year in working capital benefit to free cash flow last year, that was really driven by about $400 million positive cash from reducing our inventory. So I just wanted to point that out.
 You're right, cash tax, it is an unusual year for us for cash taxes. In total, this year, there'll be about $300 million. That's higher year-over-year by $75 million. One unusual item that we have that will hit us in the second quarter, we're going to pay almost all of a roughly $90 million transfer tax that's related to the previously announced debt redomiciliation projects that are currently in execution phase and are key to our cash repatriation plans. We'll pay this onetime tax in the second quarter, but we would expect to be able to recoup that tax in future years and through the associated foreign tax credits. It is a big payment here in the first half, so I did want to call that out. I mean if you think about cash tax of the $300 million, 3/4 of that will be in the first half. 
 I would say cash cost of synergies should be $100 million to $150 million this year. That's higher year-over-year by $25 million to $75 million, which will just kind of depend on what that final number ends up being and the timing of some of those actions. Positive offsets to free cash flow this year, year-over-year, lower cash interest by about $50 million and a benefit of $100 million to $150 million in lower CapEx versus last year. So I hope that helps in terms of some of the drivers and how we're thinking and especially the timing associated with those. 
Operator: And our next question comes from Aleksey Yefremov with KeyBanc Capital Markets. 
Aleksey Yefremov: Now that Clear Lake is up and running, is rationalization of your acetyls assets firmly off the table? Or is that an option to be considered because of this tough supply-demand environment? 
Lori Ryerkerk: Aleksey, thank you. I would say we're pretty satisfied with where we are with our footprint for acetyls. I mean, everything we have is specifically designed to serve a certain region and set of customers, and we like having the optionality and flexibility that we have. We've also continued to build out our downstream. You saw the announcement about new VAE in China, some of the RDP debottlenecks we're doing. And that really is all about how do we continue to build the foundational level of earnings in acetyls and really kind of stabilize our earnings from acetyls.
 But if you look at just specifically at acetic acid, for example, Clear Lake, clearly, we believe the lowest cost, lowest carbon footprint, really important to meet our needs in the U.S. and now into Europe. China really serves China, again, because of our technology there, we believe, one of the lowest cost producers in China. And then Singapore meets the need for the rest of Asia, particularly India and some other areas, and is still very competitive with other sources of supply into that region. So again, I would say we're always looking at our footprint. What we need to add, if there's opportunities to debottleneck, but also opportunities to rationalize. But right now, I would say our footprint is pretty good for purpose. 
Aleksey Yefremov: And as a follow-up, you used to be fairly transparent to investors to see outgrowth in Engineered Materials versus end markets. It's been harder to judge through the last few quarters. Are there any metrics such as wins, I don't know, your size of your pipeline that you can point us to, to kind of demonstrate that you keep outperforming your end markets or that outperformance will resume perhaps in future periods? 
Lori Ryerkerk: Look, I would say the pipeline is our winning factor, if you will, for Engineered Materials and what has allowed us to outperform in our sector. I think that continues to be true, especially now that we're 1 year since we went into a common system for both our heritage assets as well as our acquisition of M&M. And we do continue to look at it very closely. I will tell you the number of projects being generated is consistent. More importantly, the value of the projects that are being generated is very strong. 
 But maybe I'll ask Scott if he has any more details on that he wants to add. 
Scott Richardson: Yes. I mean we gave a stat last quarter about the fact that we created about 20% more revenue opportunity per sales employee in the second half of last year compared to what we did in the second half of '22. And so that is, I think, a really good proof point to how things are moving. The only other thing I'd add is we've been doing a lot of really cleaning up of this new kind of integrated business over the course of the last 18 months. And that will start to stabilize as we get the footprint actions in place and really get our inventories now kind of back in line with where they need to be. So I think it will be a little more visible, Aleksey, as we get into the end of this year and into the next year as to being able to see that outperformance versus the various end markets. 
Operator: Our next question comes from Arun Viswanathan with RBC Capital Markets. 
Arun Viswanathan: I guess first off, just curious about your comments around volume. It sounded like the activity in Q1 was seemingly getting slightly better in the -- in the earlier part of the quarter and then maybe it sold out in March. And then are you seeing a similar pattern here of things may be getting better in April? I mean how would you kind of characterize Q2 thus far versus your comments and then what you saw in Q1? 
Lori Ryerkerk: Yes. Look, I would say from a volume standpoint, both for acetic acid and EM, it was very much as expected in Q1 throughout the quarter. 
Scott Richardson: And then as we look to Q2, the order book is in line with the guide we put together right now, Arun. I mean we're through the month of April, and we have good visibility here to May. So I think we feel comfortable with the comments we put in our prepared comments. 
Arun Viswanathan: Okay. And then just a question about the second half and as you look into '25. So it looks like you'll be ending the year on a, say, $6.60 rate for EPS for the second half. If you were to annualize that maybe you're $13.25 or so. If you add some volume and maybe some deleveraging on top of that, it seems like you could get close to $14. So is that kind of how you're thinking about '25? I know it's a ways off, but just maybe got some -- wanted to get your initial thoughts. 
Lori Ryerkerk: Yes. Look, we've had so much variability in the last few years. I hesitate to go much further out than a quarter these days. But look, I think if you look at the run rate in the second half because it's built on controllable actions, not built on market that not an unreasonable place to start as you start thinking about '25. 
Operator: Our next question comes from David Begleiter with Deutsche Bank. 
David Begleiter: Lori, there was a competitor outage in acetyl starting, I think, late, late February. I believe it's still on allocation of VAM and acid. Did you benefit? And are you still benefiting from that competitor situation? 
Lori Ryerkerk: I would say while there was some temporary run-up in pricing, it was pretty small and fairly short lived. So I would not say we're seeing any benefit from it continuing, and the benefit was pretty small during the quarter. And I think that just is reflective of really the lower demand that we've been seeing globally that an outage of that magnitude really didn't move the market very much. And again, I think it's not as much question on supply, but just demand is really still not back at normalized levels, particularly even in the Western Hemisphere. 
David Begleiter: Understood. And just on M&M synergies, what were they in Q1? What will they be in Q2? And what should be the cadence in the back half of the year? 
Lori Ryerkerk: I don't have an exact number here in front of me. I mean I would tell you, Q1 is definitely the lightest and they continue to build and compound as we move through the year. 
Operator: Our next question comes from John McNulty with BMO Capital Markets. 
John McNulty: So I guess the first one is on raw materials. So I believe for EM, you were expecting as much as $150 million benefit as kind of lower costs rolled through the system. It looks like you got -- you're going to have 20 in the second quarter, and it's comparable to what you saw maybe in the first. So is that still or reasonable outlook just based on where raws are right now that you could see $100 million, $110 million of benefit in the back half of the year? Or have things gotten better or worse? I guess, can you help us to think about that? 
Scott Richardson: Yes, John, as I said earlier, definitely in line to be in that range based upon what we're seeing for the first half. And again, a lot just depends upon what -- how things move in the middle part of the year to see how our cost structure will develop as we get into the second half. 
John McNulty: Okay. And then I guess the second question would just be in the Acetyl Chain business. Obviously, there's some new capacity in the markets beyond just yours that are impacting the business. It looks like there's more capacity coming on next year potentially as well. So I guess, if we don't see much of an improvement in the overall demand environment, are there other levers that you can pull in your Acetyl Chain business to drive incremental profitability? Or are we at a point now where it's really going to be about the market improving and developing from a demand perspective? 
Lori Ryerkerk: Yes. So let me make a few comments on that, John. If we look at this year, there were two large, I'd say, world-scale capacities added in acetic acid in China. And again, the impact of those has been a bit more than we thought because some of the companion downstream consumers that were supposed to come on at the same time have been delayed due to the overall demand in the market. Next year, there's really only one small unit coming on that we're aware of in acetic acid, some other capacity a little bit in [ VAM ]. It's not enough that it should have a major impact.
 But we're still not at the [ whim ] of the market. I mean we still find opportunities to use both our global and our chain flexibility to really maximize our earnings in this market and try to maintain that level of foundational earnings. I'd say the other good opportunity, which is developing for us is our ability now to provide sustainable products into the market based upon the CCU project that we've put in at Clear Lake. Now that we have our ISCC certification for methanol as low carbon material, we're able to offer that to all of our customers in kind of whatever acetic acid products they desire, and we are seeing a lot of interest in that.
 We also have a sustainability advantage for VAE, which customers are interested in for kind of its low odor, low VOC emissions. So I think there are some opportunities we have that are unique to us that others do not currently have at this period in time. And we see that demand starting to grow and hope that will become a more significant part of our portfolio. 
Operator: Our next question comes from John Roberts with Mizuho. 
John Ezekiel Roberts: It sounded like the sequential change in EM earnings was nylon up sequentially and other plastic earnings down sequentially. Was the decline in the -- sequential decline in the other plastics due to the downturn or price pressure or what drove that? 
Scott Richardson: I would focus on the turnaround costs, John. I mean that was really the largest driver is really offsetting the nylon. 
John Ezekiel Roberts: And then I wasn't thinking that medical was that seasonal? What's driving the seasonality in medical? 
Scott Richardson: It's -- honestly, John, it's kind of what we always see. In some years, it's more acute than others, and we saw it come down a little more than what we saw last year from Q4 into Q1. And it's really just the timing of how our customers build inventory for the new year. And it -- Q4 ends up usually being one of our strongest quarters and Q1 tends to be weaker, which kind of goes counter to how everything else moves, but that's kind of been the historical seasonality really in most of our medical business. 
Operator: Our next question comes from Laurence Alexander with Jefferies. 
Daniel Rizzo: This is Dan Rizzo, on for Laurence. We talked a lot about the Clear Lake expansion. I was wondering if an expansion in Singapore or some place like that would be necessary given the growth that's potentially there in India over the next, I don't know, few years to a decade. 
Lori Ryerkerk: Yes. We don't see that on horizon. It probably wouldn't -- if there were more of an increase in demand, it probably wouldn't necessarily make sense to expand the Singapore plant. But for what we have right now and for that developing market in India, Singapore is [ sufficient ]. And we have options to bring material into Singapore from other parts of the world, should we see that demand increase. 
Scott Richardson: Dan, the only thing I'd add is on a downstream basis, the VAE expansion that we've just done is as much for growth in Southeast Asia and India as it is for China, honestly. We have a -- we already have VAE plant in Singapore. That plant was actually supplying some demand in China. We're now able to kind of shift that network really to service growing customers in our VAE demand, such as paints and coatings, mortars and adhesives. 
Daniel Rizzo: That's really helpful. And then with costs, we talked again a lot about price cost with raw materials. But I was just wondering what's happening with labor and potentially transportation costs if they're kind of elevated and going higher and that, that could have a kind of a negative impact towards the second half of the year? 
Lori Ryerkerk: Look, I think we've seen over the last several years, pressures on labor cost, as has everybody, but I would say through productivity steps and others, that's managed, that's baked in. And I'm not seeing any significant pressure there for the second half of the year. 
Scott Richardson: Yes. And on transportation, I mean, this is a common theme we've seen now for a while. And I think that has impacted product movements around the globe for the industry broadly. So really nothing is different now or in the second half than what we've been seeing here for a while. 
Operator: And our next question comes from Patrick Cunningham with Citi. 
Eric Zhang: This is Eric Zhang, on for Patrick. On the incremental excess supply in China acetic acid, do you have an outlook on when the delayed downstream startups will be resolved? And once that is resolved, do you expect it to have a meaningful uplift in acetic acid pricing in China? 
Lori Ryerkerk: Yes. Look, the projects that we were aware of, I think are a quarter or two delayed. I mean, the real question, of course, is that demand for those products has to be driven by more demand for exports quite frankly. And so how long that takes to resolve is really tied to consumer spending, general view of the economy, people's confidence in buying goods again. So I would say, while we do expect that capacity to be -- to start up, whether over in full or whether it will just replace other capacity remains to be seen.
 The other thing that I said earlier, which I emphasize again, is there are some new uses in China of acetic acid that should start taking some of this capacity, like [ caprolactam ]. So I can't give you a number now, but I would say, I think we're still several quarters away from starting to see any significant movement in that. 
Operator: Our next question comes from Salvator Tiano with Bank of America. 
Salvator Tiano: Yes. So firstly, I want to ask a little bit on Engineered Materials and specifically your auto exposure. As we're seeing more and more automakers delay their EV plants and sticking with ICE engines, even just a few months ago, how does this change against your plan and your potential margin uplift? And also, are you seeing any impact for consumers trading down to lower-priced models as well? 
Lori Ryerkerk: Let me try to answer the first part, and then I'll let Scott take the second part. I would say, look, as long as consumers are buying vehicles, we're happy. EVs do have about a 10% higher content available to us than ICEs, but we still have a very large position in ICE vehicles. As to the extent people are converting to hybrids, hybrids are about 20% more content available to us than ICE. So while there are some shifts and shifts in which products, as long as people are buying vehicles, like I said, we're happy. 
Scott Richardson: Yes. And we have to continue to work our pipeline really to touch on all 3 areas, whether it's battery electric, hybrid or ICE, just because each market is developing a little differently. I mean, in China now, over 20% of the market is EV. And so we still have to continue to focus EV there pretty heavily. So it is important that we kind of build that broadly speaking. We have not seen a significant change in terms of the types of vehicles and what our customers are buying and really an impact to our business at all.
 And in fact, I mean, if you look at things on a year-over-year basis, which is probably the right way to look at it, auto builds were up, I think, around 2% or so. Globally, our business, our volumes were up about 4% on a year-over-year basis into auto. So I think from that perspective, specifically, we feel like the project pipeline model continues to deliver value for us. 
Salvator Tiano: Great. And I also want to ask to go back a little bit on the China acetyls capacity expansion. I assume some of these downstream projects that were supposed to absorb the acid demand are on the polyester chain, but at least on our estimates, there are a bunch of VAM and EVA projects as well. So certainly, as they come online, they will absorb more of the acetic acid, but you do participate in these markets, and you did have a comment in the prepared remarks that you have much higher variable margins, I believe, in the downstream projects. So as this capacity comes online?  On a net basis, would that actually be good for you? Or could it be a source of margin pressure because you may lose some margin of the -- on your downstream business? 
Lori Ryerkerk: Look, I would simplify it and just say, any additional demand for acetic acid, no matter which end market is in to, is good for us. So again, because we do sell a lot of acids to others as well. 
Scott Richardson: Yes. And I would just add, I think when new capacity starts up, whether it's acetic acid, VAM, et cetera, it's going to come in and it's going to have a near-term impact. But those things then even out over the subsequent quarters. And our business is really about flexing our global network and that full value chain. And so one quarter, we're going to make money one way. The next quarter, we're going to make money a different way. And that really is the uniqueness of this kind of integrated value creation model that we have within the Acetyl Chain. 
Bill Cunningham: Diego, we will make the next question our last one, please. 
Operator: And that final question comes from Hassan Ahmed with Alembic Global. 
Hassan Ahmed: I again, wanted to revisit the Acetyl Chain, particularly in China. I mean, reading through your prepared remarks, it just seemed like the first quarter was like a tale of 2 cities. It seemed you guys started very strong. And then by February pricing started weakening. Just trying to understand the dynamic behind that. I mean it seems the 2 new facilities that you guys talked about, they've been around for, call it, 5 or 6 months. So what really caused that change between the first half of Q1 and the second half? 
Lori Ryerkerk: Well, Hassan, you may recall, I mean, typically in China, Q1 is seasonally lower demand quarter because of Chinese New Year. So if you look at total -- if you look at acetic acid prices, specifically in China, I mean, what we did see in Q1 was the lowest price since fourth quarter of '20. And again, not unexpected, very much in line with what we've expected. And again, it is based on the lower demand. I would also tell you, even though that new capacity maybe came on 2 quarters ago, it takes a while for them to ramp up and to really get into the market. So I would say it's shaping up very much as expected. I would also say this is normal as Scott said, that there is some minor disruption in the market when these come online, but things do settle down over time. 
Scott Richardson: Yes. And let me just add, Hassan, I think it's important to remember, we have the single largest -- our single unit -- the largest single unit turnaround in the history of the corporation in the first quarter, largely hitting the Acetyl Chain business. We had some of these dynamics in China, yet the business still generated a 28% EBITDA margin. So it's a very resilient business that finds a way to still deliver value even when we see market disruptions or when we see higher costs from things like turnarounds. 
Hassan Ahmed: Very helpful. And as a follow-up, if I could just sort of hit on the 2024 guidance again, maybe in EBITDA terms. I mean over the last couple of months, you talked about some of the drivers, and I just want to make sure, numerically, I'm thinking about them or they're trending as you guys had stated a couple of months ago. I mean you talked about the M&M synergies being, call it, $150 million EBITDA-wise worth of a tailwind, Clear Lake expansion being around $100 million. And then obviously, you had some offsets in terms of headwinds from some of the outages that you had last year. So I mean, as you sort of sit there and think about some of those headwinds and tailwinds, incrementally year-on-year, how much of a boost will we get from some of these controllables and new capacity additions? 
Lori Ryerkerk: Yes. Again, I think if you look at versus 2023, those things that you called out, M&M synergies that $150 million, Clear Lake expansion, we've asked them to still deliver $100 million for the year. And we probably have another -- an offset of about $100 million, maybe a bit more for higher turnaround-related expenses as well as some of the nonrepeatable impacts from last year. I think the 2 factors you are not factoring in there is we will have lower debt services year as we've paid down over $1.5 million of our net debt. And that's probably another 50 or so, and then we'll have lower costs flowing through from our inventories with all of the inventory we took out last year and be able to flush out some of that higher cost inventory and as we said, that may be the single biggest factor this coming year as well. 
Operator: And there are no further questions at this time. I'll hand the floor over to Bill Cunningham for closing comments. 
Bill Cunningham: Thank you. We'd like to thank everyone for listening in today. As always, we're available after the call for any follow-up questions. Diego, please go ahead and close out the call. 
Operator: Thank you. With that, we conclude today's conference. All parties may disconnect. Have a good day.